Operator: Good day, ladies and gentlemen, and welcome to the Burlington Stores First Quarter Fiscal 2019 Earnings Conference Call. At this time all participants are in a listen-only mode. Following management's prepared remarks, we will be hosting question and answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded.  It is now my pleasure to hand the conference over to Mr. David Glick, Senior Vice President, Investor Relations, Treasurer. You may begin, sir.
David Glick: Thank you, operator, and good morning, everyone. We appreciate everyone's participation in today's conference call to discuss Burlington's fiscal 2019 first quarter operating results. Our presenters today are Tom Kingsbury, our Chairman and Chief Executive Officer; and Marc Katz, Chief Financial Officer and Principal. Before I turn the call over to Tom, I would like to inform listeners that this call may not be transcribed, recorded or broadcast without our expressed permission. A replay of the call will be available until June 6, 2019. We take no responsibility for inaccuracies that may appear in transcripts of this call by third parties. Our remarks and the Q&A that follows are copyrighted today by Burlington Stores. Remarks made on this call concerning future expectations, events, strategies, objectives, trends or projected financial results are subject to certain risks and uncertainties. Actual results may differ materially from those that are projected in such forward-looking statements. Such risks and uncertainties include those that are described in the company's 10-K for fiscal 2018 and in other filings with the SEC, all of which are expressly incorporated herein by reference. Please note that the financial results and expectations we discuss today are on a continuing-operations basis. Reconciliations of the non-GAAP measures we discuss today to GAAP measures are included in today's press release. Now here is Tom.
Tom Kingsbury: Thank you, David. Good morning, everyone. Before I discuss our first quarter results, I wanted to make some brief comments about 2 topics that are likely top of mind for investors: first, our recent CEO succession news; and second, how higher tariffs might impact our business. Last month, we made a very important announcement about the future leadership of Burlington, which was clearly viewed very positively by all of our stakeholders regarding the future of the company. As I reflect on my last 10-plus years as CEO of Burlington, they have been the most rewarding years of my professional career. It has been a privilege to lead such a great team of executives and associates, and I take great pride in how far Burlington has come operationally, financially and culturally over the past 10 years. Even though the company has made great progress in recent years, I believe there is still considerable opportunity ahead of us that we're able to attract an executive with the experience and expertise that Michael O'Sullivan possesses speaks to this opportunity. This transition is the culmination of a very thorough and deliberate process over the last couple of years and has resulted in a powerful executive team leading the company going forward. Michael is expected to join the company in mid-September. Until that time, I will remain CEO of the company. After Michael joins us, I will continue as the Executive Chairman of the Board during a transition period. Next, I'd like to briefly address tariffs. Direct imports represent only 6% of our total orders with just 15% of these orders subject to current tariffs. Overall, including orders from third-party vendors, only a small percentage of our total orders are subject to current tariffs. Given the small number of areas impacted such as Baby Depot, luggage and handbags, the tariffs that have been in place since last fall have not had a material financial impact on us to date. Even the recent increase to 25% on these categories will not have a material financial impact and is incorporated into our updated guidance. We believe over time, tariffs may cause disruption in the supply chain, which is typically a positive for off-price retailers. In addition, if prices do go up across retail, this could possibly make value an even more important driver of consumers into the off-price channel. Our operating philosophy will be, first and foremost, to maintain our value proposition and only move our prices higher if prices increased in the full price channel. But to be clear, we will not be a leader in increasing prices. Now let's move to a discussion of our first quarter results. Comparable store sales increased 0.1% within the range of our guidance. Our total sales increased 7.3%, which resulted in adjusted earnings per share of $1.26, slightly ahead of our recently updated guidance. While these sales and earnings results were within our original outlook for the quarter, we are not pleased that our comparable store sales were near the low end of the range. I will update you in a few moments about some of the factors contributing to these results. We remain highly focused on executing the strategies that have historically driven consistent comparable store sales and increased operating margin results, and we do expect our sales and margin trends to improve as fiscal 2019 unfolds. We typically do not discuss current quarter-to-date trends on our earnings calls. Given all the commentary from other retailers as it relates to May sales, we thought we should provide more color than we typically do. Accordingly, our current sales trend for May month to date is within our 1% to 2% comparable store sales outlook for the quarter. In the first quarter, our total sales increased 7.3% with our new and non-comp stores contributing an incremental $121 million in sales for the quarter. We opened 9 net new stores during the first quarter of 2019 and we're on track to open 50 net new stores for this fiscal year. The continued strong performance of our new stores is a testament to the strength of our real estate and store operations teams' ability to find and open attractive new sites. Comparable store sales were down mid-single digits in February due to delayed tax refunds. But ultimately, we're able to achieve a slightly positive comp for the first quarter. This result was driven by strong performances in some key categories such as Children's Apparel, Baby Depot and Home. However, the cumulative effect of delayed tax refunds, unfavorable Spring weather and challenges in our latest apparel business offset these gains. The Ladies Apparel business, as we had expected, continue to be a challenge for us in the first quarter. As you may know, some of our underperforming heritage businesses have a higher penetration in the first quarter such as dresses and suits, which negatively impacted our comp sales results. On the other hand, elements of our missy sportswear business continue to outperform our overall trend such as better sportswear and active. While we recognize that Ladies Apparel is an underperforming category across the retail landscape, we also know that our business historically has been very skewed towards career dressing. Based on our analysis of NPD data, we are very under penetrated versus our off-price peers in the more casual and merchandise classifications in missy sportswear. Beginning in the second quarter and to a greater degree in the Fall, we are planning to distort the growth of missy sportswear, specifically casual and athletic categories, while working to right size the career-oriented categories. Moving to category highlights in the first quarter. Our top-performing businesses were Home, beauty, handbags, ladies' better and active sportswear, men's sportswear and active wear, Children's and baby apparel and accessories and Baby Depot. Regarding geographic performance, the Northeast and South West performed above the chain average, while the Midwest, Southeast and West comped slightly below the chain average. Moving to inventory management. Our total inventory increased 14% versus the 27% increase at the end of the fourth quarter. Our comp store inventories increased 5% slightly higher than we expected due to lower-than-anticipated sales. First quarter comp store turnover decreased by a disappointing 4%. We remain highly focused on driving down our comp store inventory levels. As we discussed on our year-end call, the third quarter will be an exception as we are planning comp store inventories up low single digits to properly set up our cold weather businesses so that we do not experience a product shortfall that hurt our sales in the fourth quarter of 2018. Again, I want to emphasize that at the end of the second and fourth quarters, we expect our comp store inventories to be down mid-single digits and for that to continue for the foreseeable future. Pack and hold as a percent of our total inventory was 28% versus 27% a year ago as we continued to capitalize on the favorable buying environment. The marketplace for our merchant teams remains vibrant as product availability at great values remains very strong. I'm also pleased with the value that we continue to bring to our shareholders as we repurchase approximately 841,000 shares of common stock during the first quarter for $123 million. At the end of the first quarter, we had $176 million remaining on the $300 million share repurchase authorization that was approved in August of 2018. Now let me update you on our long-term strategic priorities, which continue to be: focusing on driving comparable store sales growth; expanding, modernizing and optimizing our store fleet; and increasing our operating margins. First, with regard to driving comparable store sales growth. Our underlying strategies remain: enhancing our assortments as we continue to improve our execution of the off-price model with particular focus on underpenetrated businesses; building on our marketing initiatives to ensure we are continuing to engage both new and existing customers; and improving the store experience for our customers. The first quarter of 2019 marked another quarter of good progress in expanding some of our key underpenetrated businesses particularly Home and Beauty. Home still represents our largest category growth opportunity. As a reminder, we ended 2018 with our Home penetration at approximately 15% of sales, a 100-basis-point penetration increase over 2017 levels. We continue to believe we can achieve a penetration level of at least 20% over time. We see significant opportunities to expand our category and brand breadth and are targeting several key underdeveloped and new categories to drive further penetration increases in the future. Our Beauty business outperformed once again in the first quarter, and we expect this category to increase in penetration for many years. The beauty and fragrance businesses were key elements of our overall gift strategies. In addition, we continued to see a sales penetration opportunity in baby apparel, Baby Depot and toys, categories which once again outperformed this quarter. As I've mentioned many times before, Ladies Apparel represents a significant long-term sales opportunity as our penetration remains well below our peer group. However, in the short term, our goal is to stabilize the Ladies Apparel business by distorting the growth in the more casual missy sportswear categories such as active and better casual while right sizing our career businesses. Accordingly, we are not expecting an increase in sales penetration this year in Ladies Apparel. We continue to add to the quality of our vendor base. As we highlighted on our fourth quarter call, we increased our brand count to 5,100 in 2018, and expect that number to increase over time as we deepen and expand our vendor relationships, grow underdeveloped categories and expand into new businesses. In addition, our better and best penetration increased nicely in the first quarter of 2019 as the buying environment remains very attractive. Turning to our marketing activities. We continue to see positive consumer feedback to our TV advertising campaign, which gives our customers a chance to share all the reasons they love shopping at Burlington. And we're finding additional ways to tap into that desire to shop our stores across all of our advertising platforms, including TV, radio, digital, social and direct channels. On our last call, we shared that we were -- that we would be piloting a new private label of credit card and loyalty program. The program is now live in approximately 140 stores and we've been closely monitoring the results, which have been consistent with our expectations so far. Based on our pilot-store results, we are preparing to roll out the program to the full chain of stores later this year. We are excited about the potential this initiative offers to deepen loyalty and connection with our customers as well as drive increases in trip frequency and transaction size. Improving our store experience continues to be a key growth initiative for us. We plan to build on the significant progress we made in 2018 modernizing our store fleet, as we are on track to remodel 28 stores in 2019 on top of the 39 remodels we completed in 2018. The second growth initiative is expanding our store fleet. We continue to expect, given the favorable real estate environment, to open approximately 75 gross and 50 net new stores in 2019, which represents an increase over the store opening pace in both 2017 and 2018. With the new stores and remodels taken together, we expect to add 103 stores to our brand standard in 2019 increasing our store fleet to over 60% in our brand standard by the end of this year from just over 50% at the end of last year. At the current rate of new store openings and remodels, we would expect a significant majority of our stores to be in our brand standard within the next 5 years. We ended the first quarter with 684 stores yet we are a national retailer that operates in 45 states plus Puerto Rico. As we have discussed before, our C-Point strategy is a critical tool that has helped drive the strong new store sales and EBIT performance versus our underwriting model. This gives us great confidence that we can comfortably achieve our goal of 1,000 stores over time. We also remain focused on our third growth priority, continuing to increase our operating margin. Over the last 6 years, we expanded our operating margin by 420 basis points, an average of approximately 70 basis points per year, including 50 basis points in 2018 despite the negative impact of rising costs in both wages and freight. While higher freight and wages, among other costs, represent a more significant incremental cost headwind in 2019, we still believe we have a significant operating margin opportunity over time versus our peers. To accomplish that objective, we will execute the key strategies that we have deployed over the last several years: increasing total sales to leverage fixed cost, optimizing markdowns, returning our inventory management discipline and maintaining an active profit improvement culture across all SG&A areas. Now I'd like to turn the call over to Marc to review our first quarter financial performance and updated outlook in more detail. Marc?
Marc Katz: Thanks, Tom, and good morning, everyone. Thank you for joining us today. While comparable store sales were at the low end of our guidance, we achieved strong contribution from new and non-comp stores as well as an increase in our merchandise margin. Strong expense management enabled us to slightly exceed the high end of our recently updated adjusted EPS guidance. Our adjusted earnings per share of $1.26 was flat to last year's first quarter. Next, I will turn to a review of the income statement. For the first quarter, total sales increased 7.3% and comparable store sales increased 0.1%. New and noncomp stores contributed an incremental $121 million in sales for the first quarter. Our Q1 comparable store sales performance was driven by an increase in units per transaction, while traffic and AUR declined and conversion was flat. The gross margin rate was 41%, a decrease of 20 basis points versus last year driven by a 30-basis-point increase in freight. As we discussed on our year-end earnings call, we expect freight expense to be a more significant incremental headwind during the first half of the year versus the second half. First quarter freight deleveraged by 30 basis points due to higher contract rates as well as the transitory negative impact from higher year-end inventory at the West Coast port. The increased congestion in the West Coast port caused delays, which led to incremental freight expense. As I stated on our last earnings call, the overall freight cost pressure in the second quarter will be similar to the first quarter, but we continue to expect the negative impact of freight to moderate in the second half of the year. While we are still finalizing those contracts, we are seeing some positive developments. We are still forecasting freight to be a 20-basis-point headwind for fiscal 2019. Our merchandise margin did increase 10 basis points in the first quarter driven by a higher IMU, which was partially offset by higher markdowns. We continue to expect our merchandise margin to be up approximately 40 basis points for fiscal 2019 with the majority of that increase coming in the second half of the fiscal year. Product sourcing costs, which include cost of processing goods through our supply chain and buying costs, were 10 basis points higher than last year as a percentage of net sales. Adjusted SG&A was 26.3% as a percentage of sales, a 20 basis point increase from the fiscal 2018 first quarter. Reductions in the marketing and utilities expense rates were more than offset by deleverage in occupancy and store payroll expense. Adjusted EBITDA increased 2% or $3 million to $168 million. Higher freight expense as well as deleverage on store occupancy and payroll expense were the primary contributors to a 55-basis-point decrease in rate for the quarter. Depreciation and amortization expense, exclusive of net favorable lease amortization, increased $5 million to approximately $50 million and interest expense decreased $1 million to approximately $13 million. Adjusted EBIT decreased 2% or $2 million below the prior year period to $117 million. The 65-basis-point decline in adjusted EBIT as a percentage of sales was primarily driven by the same factors impacting EBITDA margins as well as higher depreciation expense. The effective tax rate was 17.2% for the first quarter, slightly lower than last year's 17.4% rate. The adjusted effective tax rate was 18% for the first quarter, slightly above last year's rate of 17.4%. Combined, this resulted in adjusted net income of $85 million, a 2% decrease versus last year. All of this resulted in earnings per share of $1.15 versus $1.20 last year. Adjusted earnings per share were flat with last year at $1.26. The $1.26 per share result represents a $0.01 beat versus the top end of our most recent guidance update, while falling within the range of our original first quarter guidance. Turning to our balance sheet. At quarter end, we had $105 million in cash, $150 million in borrowings on our ABL and had unused credit availability of approximately $394 million. We ended the period with total debt of $1.1 billion and a debt-to-adjusted EBITDA leverage ratio of 1.4x. As a reminder, we have $961 million outstanding on our term loan B; and our previous swap, which hedged $800 million of this loan at effective LIBOR interest rate of 1.65%, does expire at the end of May 2019. As we discussed on our year-end earnings call, we entered into a new interest rate swap effective May 31, 2019, which fixes $450 million of this loan at an effective LIBOR interest rate of 2.72%. We continue to pay a 200-basis-point applicable margin above LIBOR meaning at current LIBOR rates, our effective interest rate beginning in June 2019 will be approximately 4.5% on our unhedged portion of our term loan and 4.7% on our hedged portion. We believe we are appropriately balancing the benefit of fixing approximately half of our outstanding debt on our term loan at what we view is an attractive historical interest rate of 4.7% while potentially benefiting from a reduction in rates over the next few years on the unhedged portion. Moreover, if rates do go higher, we believe our strong cash flow gives us the flexibility of paying down more of the term loan to manage our interest expense in the event that it is the most accretive deployment of excess cash. Given our updated hedged position, the current interest rate environment and what we view as attractive growth prospects for the company and at our current valuation, we believe at the present time repurchasing shares is the most accretive use of excess cash as evidenced by the $123 million we repurchased during the first quarter. We will continue to monitor these variables going forward with our objective focus on evaluating and determining what we believe will be the most accretive use of excess cash flow for our shareholders. Merchandise inventories were $896 million versus $787 million last year. This increase was driven primarily by inventory related to 37 net new stores opened since the first quarter of 2018; a comparable store inventory increase of 5%; as well as an increase in pack and hold inventory, which was 28% of total inventory at the end of the first quarter of fiscal 2019 compared to 27% at the end of the first quarter of fiscal 2018. It should also be noted that our total inventory was up 14% at the end of the first quarter of fiscal 2019 versus up 27% at the end of the fourth quarter of fiscal 2018. Cash flow provided by operations decreased $6 million to $54 million driven by changes in working capital and slightly lower net income. Net capital expenditures were $72 million for the first quarter. During the quarter, we opened 17 gross new stores, including 6 relocations and closed 2 stores ending the period with 684 stores. We continue to expect to open 75 gross new stores and close or relocate 25 stores, resulting in 50 net new stores for fiscal 2019. Before I discuss our updated fiscal 2019 and second quarter guidance, I would like to make you aware of approximately $4 million in management transition cost that we will now incur in fiscal 2019 as a result of our recent CEO succession announcement. This incremental expense, approximately $0.05 per share, will be included in our reported adjusted net income and will negatively impact our earnings in the second half of fiscal 2019. While we will include this expense in our adjusted net income, we will identify what this expense is each quarter when we report earnings. Given these incremental costs were not contemplated in our original guidance for the year, we have excluded management's transition costs from our updated guidance. Now onto our outlook. For the 2019 fiscal year, we now expect total sales growth in the range of 8.5% to 9.2% as compared to fiscal 2018. Comparable store sales to increase in the range of 1% to 2% for the second quarter, 2% to 3% in the third and fourth quarters resulting in full year fiscal 2019 comparable store sales increase of 1.3% to 2.1% on top of last year's 3.2% increase. Adjusted EBIT margin to be approximately flat to last year. Depreciation and amortization, exclusive of favorable lease amortization, to be approximately $210 million. Interest expense to approximate $53 million and effective tax rate of approximately 21%. Capital expenditures net of landlord allowances are expected to be approximately $310 million and based on our first quarter results, we now expect adjusted earnings per share in the range of $6.93 to $7.01 versus $6.44 last year. This assumes a fully diluted share count of approximately 68 million shares. For the second quarter of 2019, we expect total sales growth in the range of 8% to 9%, comparable store sales to increase between 1% and 2% and adjusted earnings per share expected to be in the range of $1.11 to $1.15 compared to $1.15 per share last year. With that, I will turn it over to Tom for closing remarks.
Tom Kingsbury: Thanks, Marc. In summary, we continue to have confidence in the strength of our business model and growth strategies. While we are disappointed in our sales results this quarter, our trends are improving, and we believe the strategies we have in place should enhance our performance as the year unfolds. Finally, given the strength of our current team, coupled with our recent leadership transition announcement, we are excited about the long-term opportunities for Burlington. With that, I'd like to turn the call over to the operator to begin the question-and-answer portion of the call. Operator?
Operator: [Operator Instructions] And our first question will come from the line of Matthew Boss of JPMorgan.
Matthew Boss: Great to hear of some of the improved execution. I guess first, Tom, can you update us on progress you're making in Ladies Apparel and the strategy to improve what laterally clearly appears to be a challenged business across retail? Maybe ideally, your 2019 plan versus category penetration opportunity longer term.
Tom Kingsbury: Okay. Thanks, Matt. Unfortunately, our fourth quarter trend in heritage Ladies Apparel essentially continued into the first quarter, but candidly, it had a bigger impact on our total comp given the higher penetration of this business in the first quarter. I went into some detail in my prepared remarks about our strategy. While Ladies Apparel does appear to be soft across the country, we believe our issue and opportunity lies in the balance of our career product versus our casual product. As I talked about on our last quarter call, historically, our strength in special occasion categories like dresses and suits was a differentiator for us. But candidly, the customer is moving away from dressier classifications into more casual looks. We have to move our assortments to keep up with our customer. While we hope to make some incremental progress in the second quarter, we aren't counting on a big improvement in our guidance we gave for the second quarter. It could still take us a few quarters to right size our heritage ladies business. But in the meantime, we are moving aggressively to distort the growth in missy sportswear, areas like better casual and active so that we have an improved position for the second quarter and that we are positioned strongly for the fall season. In addition to reducing our buys in career and distorting growth in casual classifications, we're also increasing our in-season liquidity as well as shifting our merchant headcount into the casual classifications. As I mentioned in my prepared remarks, we don't expect to increase our Ladies Apparel penetration in 2019. We're in the process of rebuilding this business to take advantage of the opportunity in missy sportswear and still believe Ladies Apparel, overall, is a long-term penetration opportunity for us. But I just want to remind everyone that we have significant sales opportunities this year in a number of underpenetrated categories like home and beauty as well as baby apparel, Baby Depot, Toys and potentially, Footwear.
Matthew Boss: Great. And then Marc, maybe could you just walk us through the puts and takes with your updated margin and EPS guide? Maybe just any additional color to help bridge the bottom line delta ex management transition costs would be helpful.
Marc Katz: Sure, Matt. I'll talk at the high-end of the guidance. Our initial full year guide, as you know, was $7.06. In Q1, we missed the high end of that initial guide by $0.05. We had said $1.31 initially, came in at $1.26. So the $0.05 is what we reduced the $7.06 by and that's the $7.01 at the high-end. From a sales point of view, with Q2 now, at a 1% to 2% comp. We still have fall in our guided a 2% to 3% comp. You roll that through the year and you end up with a full year comp of 2.1%. So the major components of EBIT really remain unchanged from what we stated on our last call. So -- and I'm speaking now for the full year. So we still expect merch margins to be at 40 basis points, freight to be a 20-basis-point headwind, product sourcing cost a 10-basis-point headwind, that will all roll up to a loaded margin of 10 basis points positive. And then now that, that full year comps right there to 2.1%, we're saying other SG&A, we're going to have 10 basis points of deleverage there. So that's why we're seeing EBIT margins flat. In terms of the management change cost, what we're really trying to capture there, Matt, are those duplicative costs that are going to be reflected in our results. So what do I mean by that? Our guidance certainly reflected Tom and for the full year, full salary, full bonus, full LTIP. But we didn't have a second executive at that level with all of those same components as well as a make-whole grant. Those were not in the initial guide. That's really what makes up the $4 million and the approximate $0.05 per share. So again, those costs are going to hit in Q3 and Q4, and we will call those out each quarter.
Operator: And our next question will come from the line of Ike Boruchow with Wells Fargo. Your line is now open.
Ike Boruchow: Good performance in a tough time. I guess, Tom, question for you first. The Q1 comp inventory, a bit higher than I guess you thought. Are you still comfortable with the mid-single-digit decline for the end of the second quarter? And is this possible you're going to create any markdown issues for you guys as you move through the second quarter?
Tom Kingsbury: I'll take the first part and then, Marc, you can take the markdown piece of it. Yes, Ike, our comp store inventory was up 5%. That was a bit higher than our expectations. This really came down to being at the low end of our sales plan. Had we been closer to the midpoint or high end of our sales guidance, we would've been more in line with the low single-digit increase at the end of the fourth quarter. We believe our higher ending Q1 inventories will not negatively impact our second quarter sales because the makeup and balance of this incremental inventory is positioned in our key growth businesses as well as our warm weather categories. Our receipt flow has improved versus last year as we've received a lot of goods last year late in the second quarter as we discussed on our second quarter '18 earnings call. Given where we ended the first quarter as well as the goods we received in May this year, we feel inventories are positioned to achieve the mid-single-digit comp store inventory decrease at the end of the second quarter. Marc, do you want to comment on this markdown?
Marc Katz: Sure. So, just in terms of the complexion of our inventory at the end of the quarter, our goods aged 91 days and older was flat to LY. So we continue to be pleased with the low levels of aged inventory. But really, the freshness of our inventory, the goods that are aged 0 to 30 were at very high levels, so I felt good about that. So our comp inventories, obviously, ended a bit higher than we had planned. We took all the markdowns we needed to in Q1. We believe our guidance reflects appropriate level of markdowns that we'll need to take in Q2. So I guess the best guidance here I could give you is our expectation for merch margins is similar to what we've said in Q1. We expect merch margins to be up in Q2. They're not going to be up to the extent of the 40 basis points we're saying for the year, but we're still saying they'll be up over last year.
Ike Boruchow: Got it, Marc. That's helpful. And a quick follow-up for you just sticking on margins. I was wondering if you performed your -- you typically have an annual review of operating margin versus your peer set. Any updates on the remaining gap Burlington has versus your larger peers?
Marc Katz: Sure. We absolutely performed that review. We'd be happy to talk to you about it. I always like to start out by noting in the last 6 years that we've increased our EBIT margins 420 basis points, and that included 50 last year despite freight and wage and all the other headwinds. So feel real good about what we've accomplished. This year's update, we still believe there's 300 to 400 basis points of EBIT margin gap versus our peers. At this point, we think the gap is slightly more weighted toward SG&A, but our game plans to address this opportunity isn't going to change. It's literally going to be the same initiatives that have delivered the last 420 basis points over the last 6 years. So let's talk this through. Obviously, we need to continue to drive total sales productivity. Tom talked a lot in his prepared remarks about our under-penetrated categories and our new store growth. So obviously, continuing to grow our sales productivity is just going to lead to better leverage across all fixed costs. In terms of merchandise margin, the off-price model continues to be rooted in value. We will continue to balance delivery, incremental gross margin while delivering value to our customers and driving sales. But at the end of the day, we continue to believe we carry more inventory in our stores than is required, and we're going to continue to plan our comp store inventories down mid- to high-single digits over time, which is going to drive faster turns and should drive a lower markdown rate. So the big mover in merch margin as we see it going forward is going to be that lower markdown rate from turning faster. And then finally in terms of SG&A, I think you know, we've got a very active profit improvement culture here at the company. It's our number one goal and objective for all of our sales support teams and that's not going to change. So long story short, 300 to 400 basis points of opportunity. We're excited about it and think we have a proven game plan to continue to narrow that gap.
Operator: And our next question will come with the line of Lorraine Hutchinson with Bank of America.
Lorraine Hutchinson: I just wanted to circle back on the traditional Ladies Apparel shifts. I think one thing we've seen in the industry over the past 5 years or so is there has been a shift to more casual, but it tends to be deflationary in nature because some of the more casual products are cheaper than the suits and dresses. So what are the efforts in place to try to make sure that you capture all those dollars that she has in her wallet even if she can pay a little bit less for her outfit?
Tom Kingsbury: Well, we think that the fact that we've been growing our inventories or receipts in better and best product, that should help offset any potential AUR drop, but we need to move on from dresses and suits. We need to make sure that we're presenting to the customer the product that they want. So we're not going to hang into -- hang onto a business based on the fact that an AUR might drop. We'll just have to, obviously, strategize that amongst other businesses, et cetera. They have the mix turn out correctly, so we're not going to get hurt. But we're committed. We're committed to go after the casual business as I've stated multiple times. We think it's an opportunity, and we need to move away from those more dressier products or career products such as dresses and suits.
Operator: And our next question will come from the line of John Kernan with Cowen.
Krista Zuber: This is Krista Zuber on for John. Just as we kind of look at your comp guidance for the full year along with what you're looking for 1% to 2% for Q2, it certainly applies an acceleration in comps in the second half, and I think you've said in the past that about a 3% comp or sort of beyond or above a 3% comp there is potential to pick up some SG&A leverage. Are you planning for a return to SG&A leverage at some point in the second half of fiscal '19?
Marc Katz: Yes. In our SG&A algorithm, as we stated this year in '19 due to the headwinds that we had, we've said we'd be flat at that 3% comp. But then moving from 3% to 4%, we should pick up 15 basis points of leverage with each 1-point pickup in comp so to speak. Hopefully, in time, we could get back to starting to get some leverage on the 3% comp, and that's what we'll be working toward over the next period of time. But that still is the algorithm. And yes, we're hoping to get some leverage there in the back half. But remember, in the back half in addition to being 2% to 3% comp, we're also expecting far less pressure from freight.
Operator: And our next question will come from the line of Dana Telsey with Telsey Advisory Group.
Dana Telsey: Nice to see the progress. As you think about the existing stores and the new stores and the remodels that you're talking about, how is that performing and what are you seeing? Any differences in performance in the new stores that are of a smaller size and as you remodel and downsize some of the existing? Is there any difference on performance? And how you're getting consumers aware of that?
Tom Kingsbury: Well, we've done well with our new stores as we've commented many times before. The C-Point strategy that we developed with a third party to identify where our stores should be located, I think that was like 3 or 4 years ago, it's really helped us in terms of our performance overall. It just really indicates where our customers reside, where are the best retail hubs and where we should have a store. So new stores are performing well. And obviously, it gives us a lot of confidence that we can have 1,000 stores in the U.S. over time. Our relocation stores moving from a not-so-great shopping center to a much better shopping center, those have proven to be very, very good for us. And we feel that, that's the way we're going to -- we're really going to go quicker in the future to really move our stores into better locations. And remodels, remodels are good. We look at them as -- in more of a defensive, making sure that our stores look good for our customers, and we continue to improve the customer experience in those stores overall. But it's more like -- it's more about that than is about a great return on that.
Marc Katz: Just to piggyback on what Tom said, Dana, we do get a lift with our remodels, they generate a return. It's more in line with cost of capital versus our new stores that are multiples of cost of capital.
Operator: And our next question will come from the line of John Morris with D.A. Davidson.
John Morris: Congratulations on the great results. And Tom, congratulations on all your great work and your great horizons going forward. So thank you for all that hard work. And great to hear a little bit more color about how you will see tariffs either positively or negatively impacting the business. Maybe can you just give us a little bit more about the benefits potentially? You talked about potential disruption, how that creates buying opportunity. Just wondering how that might look from the standpoint of the company being able to capitalize on some of the disruption. Are you seeing any of that currently or is that a little bit too early? Just want to sort of get a read there.
Tom Kingsbury: It's too early really to say if there is going to be disruption. But historically, I mean when there's disruption in the marketplace, it could be when there was issues in the ports a couple of years ago or if it's cold weather in the spring season. It's just -- wherever there is any kind of disruption, there is more product available to us. But with that said, I mean we have plenty of product available to -- for us now. I mean that's not really an issue. But just historically, it's been proven that when there is some disruption that we sometimes benefit from that.
John Morris: And then my follow-up would be on the marketing, the marketing initiatives you guys have had. You said that you have had good responses from customers on the campaign. Just wondering if there are any other metrics that back that up other than kind of that qualitative observation. And yes, just -- that and any more color on the loyalty program that will be rolled out and the timing of that?
Tom Kingsbury: As far as marketing goes, we're shifting marketing dollars, our media dollars, out of the traditional types of media and into more digital, more social. We're also trying to connect with more influencers, more mobile. We're trying to move our dollars where the customer eyeballs are today. So even though we're pleased with what's been going on with our TV campaigns in terms of the fact that they resonate with our customers, but in general, we're going about it like everybody else. We're trying to shift our marketing dollars into areas where we know customers are really interacting more. So as far as the private-label credit card goes, we're just -- we're testing it now, we're now -- it's in 140 stores. It's performing as planned, and we plan to roll it out sometime in the balance of the year.
John Morris: Yes. I just didn't know if there was a particular month or a quarter that you might be looking at for that.
Tom Kingsbury: Well, we're in pilot mode and we're making sure that everything is working the way it should. It seems like it is. And we're not in a rush. We just want to make sure that when we do roll it out, we do it in a thoughtful manner.
Operator: And our next question will come from the line of Paul Trussell with Deutsche Bank.
Paul Trussell: We spent time discussing the Ladies Apparel business. Just maybe wanted to get some additional color on the progress in those other categories, specifically home, beauty, fragrance, baby, toys. Just discuss how you're -- feel you're doing in terms of procuring better product and brands in those areas and making sure the customers know that you have that.
Tom Kingsbury: Okay. Our Home business has been very, very strong. Last year, we picked up 100 basis points in penetration, and we're performing well across many categories within the Home business. It was really important to our overall gifting strategy to grow our Home business, which also has been very, very strong. And another gifting area that we've done well is in -- is beauty and fragrance. We continuously see nice growth there overall. And we're -- between home and beauty, we are attracting a lot of different brands, brands that we had really wanted to put into our portfolio. So as we grow the business, more becomes available to us. The baby business, Baby Depot and baby apparel, we've always been known for our baby business, and we've been able to really capitalize on what's currently happening in the marketplace. So we feel very good about that business. Our toy business really outperformed in the fourth quarter, it outperformed in the first quarter, so we're really working hard to take advantage of that. We're maintaining strong gift card toy presentations throughout the year now. Before we would somewhat put it in the background when we got into the first quarter, but now it's front and center as you'll see in our stores with a lot of graphics. So all those businesses are trending well, and we expect them to continue to trend in this quarter and in the second half of the year.
Paul Trussell: And quick follow-up on merchandise margin should we -- reiterated guidance for the full year. Just maybe speak to what will drive that 40 basis points of gains. Obviously, that's a bit of an acceleration over the balance of the year.
Marc Katz: Yes. Paul, I would say minimal on the IMU front and most of it will come from the faster turns and a lower markdown rate.
Operator: And your next question will come from the line of Adrienne Yih with Wolfe Research.
Adrienne Yih: Tom, congrats on the great run transforming the business. So my thanks as well.
Tom Kingsbury: Thank you.
Adrienne Yih: My question is actually a follow-on on the tariff. So it sounded like the -- that was the current List 3 exposure. I'm wondering if you could help us out with if List 4 were to be implemented, how would those same metrics look direct and third-party exposure to Chinese sourcing? And then my follow-up is given the weather and traffic hurting retail sort of in Q1, how much of 2Q inventory were opportunistic in these short-stay buys?
Tom Kingsbury: Well, as far as the tariffs go, obviously, if there is more tariffs we'll have to evaluate the situation because obviously, it's another big amount of tariffs. But our direct imports, as I said, is still a small part of our business at this point in time. So we really feel that, obviously, it will become more of an issue as more tariffs get put in place. But right now as I mentioned between what happened in first round and now the second round, it really hasn't been material overall. As far as opportunistic buys, our business is rooted in opportunistic buys. And so we have liquidity that we took advantage of some warm weather product that would be delivered or is being delivered in the second quarter overall. But again, as I mentioned multiple times already, I mean there's a lot of products out there to choose from. And obviously, we really -- our business model is steeped in opportunistic buys.
Operator: Our last question will come from the line of Mark Altschwager with Baird.
Mark Altschwager: Maybe just a big picture question for Tom. Just with respect to the CEO transition later this year, do you see any potential that this could result in a shift to -- in the broader strategy and the earnings growth algorithm you've demonstrated over the last couple of years?
Tom Kingsbury: I don't think so. I wouldn't expect that. I think the new CEO has seen all the progress we've made over the years. And he is very respectful of what we've done historically. And he'll come in and he'll evaluate exactly what's happening in the company, and I'm sure he will have his own point of view on certain things. But at this point in time, he's not starting until mid-September as we have announced. So we'll see over time.
Mark Altschwager: That's great. And just a quick follow-up on the merchandise margin commentary. I think you commented that there was some higher promotional activity. Could just elaborate on that a bit? Wondering how that compared to your expectations and if there's any broader shifts in the competitive backdrop that you're able to offset just given the unchanged overall merchandise margin guidance.
Marc Katz: I don't believe we talked to increased promotional activity. I don't think we talked about that, and I would just go back to -- our expectation is still to see 40 basis points of merch margin expansion over the year. Specifically in Q2, we expect it to be up but not up to that degree.
Operator: Thank you. And that concludes our question-answer session for today. It is now my pleasure to hand the conference back over to Mr. Tom Kingsbury, Chief Executive Officer, for any closing comments or remarks.
Tom Kingsbury: Thanks, everyone, for joining us today. We look forward to speaking with you when we report our second quarter results in late August. Thank you.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This will conclude our program, and we may all disconnect. Everybody, have a wonderful day.